Operator: Good day, ladies and gentlemen. Welcome to the Compania de Minas Buenaventura Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. And please note that today's call is being recorded. At this time, I'd like to introduce your host for today's call, Mr. Gabriel Salas, Investor Relations. Mr. Salas, you may begin.
Gabriel Salas: Good morning, everyone, and thank you for joining us today to discuss our fourth quarter and full year 2021 results. Today's discussion will be led by Mr. Leandro Garcia, Chief Executive Officer. Also joining our call today and available for your questions are Mr. Daniel Dominguez, Chief Financial Officer; Mr. Juan Carlos Ortiz, Vice President of Operations; Mr. Aldo Masa, Vice President of Business Development and Commercial; Mr. Alejandro Hermoza, Vice President of Sustainability; Mr. Renzo Macher, Project Manager; Mr. Juan Carlos Salazar, Geology and Exploration's Manager; Mr. Roque Benavides, our Chairman; and Mr. Raul Benavides, Director. This conference call will include forward-looking statements, which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. Any such statements should be considered in conjunction with cautionary statements within our earnings release and risk factor discussions. I encourage you to read the full disclosure concerning forward-looking statements within the press release we filed on February 25, 2022. In addition, it is important to note that these statements include expectations and assumptions, which will be shared related to the impact of COVID-19 pandemic. As seen on Slide 2, our forward-looking statement also provides information on risk factors, including the effects related to COVID-19 that could affect our financial results. In particular, there is continued uncertainty about the duration and contemplated impact of COVID-19 pandemic. This means Buenaventura's results could change at any time and impact of COVID-19 on the company's business results and outlook is the best estimate based on the information available of today's date. At this time, let me now turn the call over to Mr. Leandro Garcia, Chief Executive Officer. Leandro, please go ahead.
Leandro Garcia: Thank you, Gabriel, and good morning to all, and thank you for attending this conference call. Before we start this presentation, we would like to wish you, your family and friends health and well-being at this time. We are pleased to present the results for fourth quarter and full year 2021 from Compania de Minas Buenaventura. We have prepared a PowerPoint presentation, which is available in our webpage. Before we go further, please take a moment to review the cautionary statement shown on Slide 2. Please consider the disclosure related to the COVID-19 pandemic. Moving on to Slide 3. Highlights were as follows. Fourth quarter '21 EBITDA from direct operations reached US$62.8 million compared to $59.1 million reported in fourth quarter 2020. Full year '21 EBITDA from direct operations reached $204.4 million, a 39% increase of as compared to $147.4 million for the full year 2020. Fourth quarter '21 EBITDA, including associated companies, reached $210.2 million compared to $171.7 million in fourth quarter 2020. Full year '21 EBITDA, including associated reached $719 million, a significant increase as compared to $403 million for the full year 2020. Aligned with the company's strategy to focus primarily on exploration, fourth quarter '21 exploration operating units increased to $15.5 million compared to $12 million in fourth quarter 2020. Full year '21, exploration and operating units increased to $56.4 million compared to $28 million in last year. Fourth quarter 2021 capital expenditures were $32.2 million compared to $38 million for the same period in 2020. Full year 2021 capital expenditures reached $90.7 million compared to $73.2 million in full year 2020. The full year 2021 capital expenditure, mainly driven by growth CapEx at San Gabriel, $13.9 million, sustaining CapEx of Yumpag, $10.2 million and El Brocal $19.5 million. Cost applicable to sales for the full year 2021 reflects a $67.7 million impact due to COVID-19 related expenses compared to the $30.5 million reported in 2020. Buenaventura plans to significantly reduce these expenses by updating its COVID-19 protocols aligned with increase of vaccinated workforce. Buenaventura's cash position reached $377 million as of December 31, 2021, reflecting $137 million in dividends received from Cerro Verde in full year 2021. Moving on to Slide 4, aligned with Buenaventura's commitment with its shareholders, the Board has proposed a dividend payment of US$0.073 per share. The company expects a total CapEx between 190 and $210 million during 2022. The sustaining CapEx will reach between 90 and $100 million and the growth CapEx, mainly driven by San Gabriel will be around 100 and $110 million. The company's portfolio of greenfield projects continued progressing well during the quarter. San Gabriel project concluded the prior consultation processes in both direct influenced communities, Corire and Oyo-Oyo. Construction permits expected by second quarter of '22, followed by the full funding decision. Yumpag project, which will add close to 30 million ounces of silver to Uchucchacua life of mine keeps progressing according to the plan with the EIA, environmental impact assessment, and detailed engineering for construction permit. Exploration of Tomasa vein continues with positive results, which will contribute another 30 million ounces of silver to the results. This will allow the company to increase silver production beginning of 2024 on top of Uchucchacua once the latter resumes operations. Buenaventura sold its total stake in Yanacocha for $300 million and contingent payments of up to $100 million tied to future increases in metal prices. Additionally, Newmont transferred its ownership interest in the La Zanja joint venture to Buenaventura in exchange for royalties on any future production and also contributed to -- with $45 million to cover future closure costs. The net proceeds of the Yanacocha sale, in a combination with the dividends received from Cerro Verde during the fourth quarter 2021 will allow Buenaventura to fully prepay the $275 million of the syndicated loan and partially fund the San Gabriel project. This decision is aligned with Buenaventura's commitment to deleverage the company and improve balance. Buenaventura finished the ESG materiality assessment as a road map to its sustainability strategy. During 2022, Buenaventura will focus in measuring KPI such as carbon emissions, water footprint, human rights due diligence among others. Moving on to Slide 5, ESG corporate strategy. During 2021, with the help of our stakeholders, we completed a materiality matrix shown in this presentation. This enables Buenaventura to focus on those items, which are identified as highly material. The results and action plan is shown in the next slide. Moving on to Slide 6. Here, you can find some key indicators regarding our ESG strategy. For example, on the environmental pilot, Buenaventura is committed to a responsible  achieving a 98% of recirculation at our OP operations and 83% at our underground operations. Also in 2021, we have used 74% of renewal energy primarily from our hydroelectrical plant. And this year, we will focus on measuring our carbon footprint. Regarding the social pipeline, as we have always mentioned, taking care of our workers' health is our top priority, and we will continue working on this. We have achieved a 92% fulfillment of social commitments. Also, we have leveraged over $10 million on infrastructure projects by directly benefit the communities development. Finally, regarding the governance pipeline, we will focus on optimizing EBITDA and the construction of our San Gabriel and Yumpag projects, which are key value generator. Moving on to Slide 7, financial highlights. Total revenues during the fourth quarter were $253 million, which is 7% higher in comparison to the fourth quarter of 2020. 2021 total revenues increased to $901 million compared to 2020 where total revenues were $677 million. As we mentioned before, our EBITDA from direct operations for 2021 increased to $204 million in comparison to $147 million during 2020. Also, our EBITDA, including associate companies for 2021, reached $719 million in comparison to $403 million during 2020. The CapEx decreased to $32 million in the fourth quarter of 2021 compared to $38 million in 2020. In 2021, CapEx reached $91 million, a 24% increase in comparison to 2020. As you can appreciate on the graph shown in this slide, we are returning to pre-pandemic levels and even achieving greater results than 2019. Moving on to Slide 8, attributable production. Total gold attributable production in the fourth quarter of 2021 was 59,000 ounces, which is 15% higher than the figure reported on the same quarter of the previous year. In 2021, total gold attributable production was 198,000 ounces, higher than the same period in 2020. Silver attributable production for this quarter was 2.5 million ounces, which shows a decrease of 27% compared to the figure reported in the fourth quarter of 2020. This is a direct result of the suspension of operations at Uchucchacua. However, during 2021, silver attributable production was 13 million ounces, 13% higher than production in '21, mainly driven by higher silver production at El Brocal. In the fourth quarter of 2021, 9,000 metric tonnes of zinc were produced, a significant decrease compared to the fourth quarter in 2020. In 2021, zinc production decreased to 41,000 metric tonnes, 6% lower than the same period in 2020. In the case of lead, equity production was 5,000 metric tonnes in the fourth quarter of 2021, which is 32% lower in comparison to the fourth quarter of 2020. In 2021, lead reduction increased to approximately 21,000 metric tonnes in comparison to the 24,000 metric tonnes in 2020. Finally, our copper attributable production for the fourth quarter of the year was 28,000 metric tonnes. During 2021, copper attributable production was 102,000 metric tonnes, an 11% increase compared to the same period of 2020. Moving on to Slide 10, all in sustaining costs and costs applicable to sales. The all-in sustaining cost from our direct operations in 2020  increased by 8% to US$1,406 per ounce of gold. The costs applicable to sales for 2021 were as follows: for gold, US$2,106 per ounce, which is 10% higher than a year ago; for silver, US$18.81 per ounce, which is 3% higher than a year ago; for lead $1,483 per metric tonne, which is 26% higher than a year ago; for copper, US$6,584 per metric tonne, which is 28% higher in comparison to the year ago; finally, in the case of zinc, the cost applicable to sales was US$2,274 per metric tonne, which is 18% higher than a year ago. As we mentioned before, cost applicable to sales has been impacted by approximately $67.7 million of expenses related to COVID-19. Moving on to Slide 11 pipeline of projects. Here, we are presenting in one snapshot the current development level for each one of our projects. Moving on to Slide 12, San Gabriel. We are glad to announce that we finished the prior consultation in both communities and expect construction permits by the end of 2 quarter of '22, followed by the full funding decision. We are working with Ausenco to finish the construction management agreement by the end of first quarter of 2022. Moving on to Slide 13, Trapiche. We have completed 1 of 2 environmental impact assessment workshops in the field, and we are missing one to be held by the end of the first quarter of '22. The cooperation agreements with 4 out of 5 communities are on its final stages. We finished update report on power line access with favorable results. Moving on to Slide 14, Tantahuatay's sulfide project. Coimolache's Board approved by viability stage. Finished in 2021 infill drilling program confirming high-grade zone. Thank you for your attention. I will hand the call back to the operator to open the line for questions. Operator, please go ahead.
Operator:  And our first question today comes from Carlos Alba from Morgan Stanley.
CarlosAlba: So a few questions, if I may. First is, could you comment on the budget for exploration on both operating and non-operating unit for 2022? Clearly, we saw a step-up in those in the last quarter for sure. So I wonder if you can comment for the outlook and the guidance for 2022. And also, given the comment that you made on COVID-19 related expenses that increased significantly last year versus 2020, how much do you think you can reduce those in 2022? And then if I may, just on the dividend from Cerro Verde, obviously, a very nice payment for you guys and for our shareholders. What do you see going forward? I mean is this current level of dividend from Cerro Verde something that we can finally see on a recurring basis? And my last question, I'm sorry to load you up with all of them. Is -- can you confirm if the syndicated loan has already been paid? I just want to make sure that we model that properly? And if not, when do you expect that will be paid?
Leandro Garcia: Thank you, Carlos, for your questions. I will answer you the last 2 questions, and we're going to pass the microphone to Daniel and Juan Carlos Salazar. In the case of Cerro Verde dividends, there are not a finance figure that we are going to receive this year. But the company and Freeport has all the desire and expect to give more dividends this year in the way that and aligned also with the cash that they are generating every month. As soon as we know, we should inform to the market. The last question about the syndicate; the syndicate is not canceled up today. We are expecting to be canceled in March, the first days of March. That's our quick view of that. I'll let Juan Carlos Salazar to talk about the budget of exploration for 2022. Please Juan Carlos, go ahead.
JuanCarlosSalazar: Thank you, Leandro. Yes, our value has increased, especially for these new projects we are now drilling, especially the Tomasa project. We have increased our drilling in that area. Also, we increased our drilling in El Brocal, especially in the open pit, we had new areas, the . And also we have 2 additional some drilling in the out part of the open pit. And so we increased our budget in that regard.
DanielDominguezVera: Sorry, to give some figures, explorations for operating areas would be in the order of $50 million to $60 million. And for explorations in non-operating sites, greenfield, we are talking about between 10 and $15 million. All of these are going to our OpEx and is within the EBITDA that we announced normally. And another additional piece of information, Carlos, is that with this payment of the syndicated loan in March, we will be reducing our leverage ratio, and we estimate a leverage ratio by the end of the year of around 2.5x without considering any effect of Cerro Verde's dividends.
Operator:  And our next question comes from Bastien Maire from LarrainVial.
BastienMaire: Just two follow-up questions. First, as you said, probably you will pay in the bank syndicate on the first day of March. Have you already received the payment from the sale of Yanacocha stake? And the second one, if you can please repeat the amount that you are expecting to divest on drilling on brownfield projects because I didn't get it right.
Leandro Garcia: Thank you for your question. Yes, the first answer for your first question  already paid. We have already received all the payments, the same day that we have the financing nature. And in the brownfield, Daniel?
DanielDominguezVera: The explorations for -- within our mining sites are in the order of $50 million to $60 million. And for the greenfield exploration project, we are expecting between 10 and $15 million.
Bastien Maire: Okay. Perfect. And if I may, one last question, more in the -- in the market, how do you see prices for this year? What are your expectations, especially for zinc and for the precious metals, right? Which is your -- like your base case scenario? And what do you expect -- if you expect to -- these prices remain at healthy levels or if you can give me more color about that would be great.
Leandro Garcia: This is a difficult question. However, we can comment about the prices that we have used for our budget. Maybe Daniel can give us some color of prices. And then maybe Aldo can comment about what our thinkings of prices are for the following years. Please, Daniel.
DanielDominguezVera: Yes, Leandro. For our budget, we have been very conservative and considered $22.5 for silver, $1,700 for gold and $9,400 per tonne for copper, while for zinc also $3,200 per tonne.
AldoMasa: Thank you, Leandro. Aldo Masa here. A comment on prices for the future for this year, I really think in precious metal really depend on the geological situation, what is going to happen with one additional way taken place. If it's continue or escalate for gold and the silver is going to be higher. Talking about copper right now, it's almost $10,000 per metric tonne. It's a fairly good price. All the analysts are thinking that maybe in the next 2 years, the copper price will be a little bit lower because we'll be more production. There will be some product that is coming ahead and maybe we'll be a little surplus in the market. But since 2024, 2025, probably will be a huge deficit in the market and that copper price is going to be up again. Talking about zinc, I think it's very high right now, it's $3,650 per metric tonne. Most of the analysts and traders are thinking that maybe the thing is going to be up and probably reach $4,000 per metric tonne because of the higher energy prices in Europe. But this will not be maintaining in the future, probably it's going to reach $4,000, but next year will be between $3,000 and $3,500. The lead will usually follow the zinc. Right now it's also in a very good price, $2,400 going now . And this is our idea for prices. As Daniel mentioned, we're very conservative with the prices, but we would hope that the prices will maintain at those levels for the future.
Operator:  Our next question comes from Tanya Jakusconek from Scotiabank.
TanyaJakusconek: Yes. So my questions have to deal with your -- sorry, the Uchucchacua mine. I just wanted to get an understanding of what's happening at Uchucchacua in terms of your focus is drilling and trying to identify stopes and other for 2022, but kind of wanted to understand sort of your planning on this asset and when we can bring it up. And also I wanted to get an update on San Gabriel, what's happening there? And if you are seeing CapEx increases because of inflationary pressures?
Leandro Garcia: Tanya, thank you for your question. The first part, I will give the microphone to Juan Carlos Ortiz and then Renzo should answer the question about -- regarding San Gabriel. Thank you, Tanya, again.
JuanCarlos: Thank you, Leandro. Thank you, Tania, for the question about Uchucchacua. Just to make a follow-up with the last time we have this conference call, we started the mobilization of the contractors in the Uchucchacua mine. We finished that demobilization by November. And in December, we resumed development and these developments are for drilling expansion -- to reach drilling expansions underground. And this drifting is being done with Buenaventura resources, equipping and personnel. We only have contractors for -- the rate of development that we have right now with our own resources is about 300 meters per month. We are ramping up, bringing more equipment and training our own people from other areas to go underground. We expect to reach about 300 meters per month in April to today. At this pace, we expect to complete a drilling program of about a diameter of about 80 kilometers in this year and about 7,000 meters of developments in the underground mine. We are not taking into consideration in these figures, the rehabilitation of old mining tunnel in which we go back for drilling again to get drilling station ready for exploration program. What we plan to do first is to, we will have a new interpretation of the geology of Uchucchacua based on some characteristic of certain horizons of the limestone that in the past give access of it lot of ore bodies with high grade and large volume. So the main focus of exploration and development to do this exploration is to chase those ore bodies in the decline that we have in the Easter side of the mine. So basically, we are doing that. At the same time, of course, we are reviewing all the information that we have, the historical information of the mine and try to put the newer bodies together to see what are the best opportunities and synergies that we can build up with the all pit stops that has mine infrastructure and the newer bodies that are pretty much in the range of 300 to 500 meters from our existing mining underground mining facilities. So pretty much -- the idea is that a long year 2022, we get all this information together. We update our mine sequence plan and probably come out with a plan to resume operations along the second half of 2023 or early 2024, with a more competitive and stable production units.
Tanya Jakusconek: So am I understanding that this mine could come up into production in the second half of '23? Or is it more 2024? I just had a bit of static on the phone.
JuanCarlos: Yes. It's in that range -- it's in that range. We expect to resume as soon as possible, that will be the second half of 2023, but it's depending on the information that we gather with exploration.
Tanya Jakusconek: Okay. And just on San Gabriel, if I can just get an update, I did read in the release that you have done your public hearings with the communities and that we could start construction as soon as we -- if we get permission to do so. And maybe just talk about the time line and any capital inflation you're seeing.
Leandro Garcia: Tanya, Renzo will give you more color about San Gabriel.
RenzoMacher: Sure. Thanks for the question. We keep advancing the conversation with the community and the authorities. We are still aiming at sustaining our projection that we will start construction after the rainy season that is in the first part of the second quarter. And in regards to your question about increasing CapEx, the number that is in our 400 -- 370 to 430 of rate includes some escalation costs because of last year. So we're confirming that range.
Tanya Jakusconek: And what escalation cost did you include in that number?
RenzoMacher: Because the number we presented the last year was a number from 2019, and we are confirming it to 2020. Since we move it, we didn't start construction as expected from 2019 -- 2021, I'm sorry, we're moving into 2022. So there's some escalation on the cost of equipment and the such.
Operator: And our next question comes from Mauricio Fernandini from Credicorp Capital.
MauricioFernandini: I would like to know more about the shift to cover El Brocal, and now if you could elaborate more on that one. Basically, it caught my attention that there was a significant fall or treated at Tajo Norte . Now I wanted to know why this happened? And how should we spectra treat it and production at Tajo Norte both copper and silver, and polymetallic to move on the following quarters?
Leandro Garcia: Thank you, Mauricio. Juan Carlos Ortiz will give you the correct answer for your question.
JuanCarlos: Thank you, Mauricio, for the question. As we comment with the market, the Tajo Norte is progressive to the South. By doing so, we are moving away from the polymetallic ore into the copper ore. That's the same ore body that we are mining underground. So we are getting closer to the underground mine. That's the reason during the year 2021, we have lower zinc and lead production compared to the previous year 2020 and an increase in the copper production. So it's becoming more copper from the open pit and gradually less zinc lead. The silver comes along with this transition area. It's a very high-grade spots that we have, some high-grade silver nuggets that we have in this transition here. We take advantage of that in our model, in our geological model we're kind of conservative because that's the way to do the model. That's the reason we could beat the guidance for silver production. And probably this year, we will continue mining the same area. So we have some opportunities to overdo our silver production well. But it's always we are going to publish our conservative figures. And quarter-by-quarter, we will see what's the positive or not reconciliation that we have from our , so it's part of the life of mine that we have bidders. No big surprise. There is no problems from approach and productivity.
Operator: And our next question is follow-up from Carlos Alba from Morgan Stanley. Mr. Alba, is it possible your phone is on mute?
CarlosAlba: Yes. Sorry. Sorry about that. Yes. Several points, additional points, if I may. On the San Gabriel just to confirm, so when do you expect construction may start? And then when do you expect production or first metal to come on -- to be produced if everything goes well? And the other questions I have is, you can't comment on COVID-19 expenses in 2022. If there is a range of a number that you can provide? And then finally, what would be the strategy in Trapiche. You're still looking at probably doing a joint venture there. And at what stage or at what point do you think that will be more optimal for you to actively try to find a partner? And what would be the earliest that Trapiche could start in your view if everything goes according to plan?
Leandro Garcia: Thank you, Carlos, for your question. Yes, sorry for the COVID-19 information for 2022, the budget for this year is between 14 and $15 million. That is the budget we are expecting for COVID-19 expenses. In terms of San Gabriel, construction, we expect to begin as Renzo told us before in the second quarter of this year as soon as possible. And commercial production is around 20%, 25%. There are 3 years of construction vis-à-vis the commercial production, yes. In the case of Trapiche, we have not made a decision already. But of course, there is the sentiment in the group management to look for a joint venture, someone who can collaborate with us in the developing of Trapiche. In terms of rates, maybe Renzo can give us the current date that we are managing. Please, Renzo.
RenzoMacher: Yes. For Trapiche, we are in our last year of feasibility. So if everything goes as planned, we should start the construction phase on the year 2024, second part of 2024, and it will last 3 years.
Operator: Our next question is also a follow-up from Tanya Jakusconek from Scotiabank.
TanyaJakusconek: So I did want to come back to San Gabriel. And just wanted to understand to provide us production and capital and EBITDA numbers. But just wanted to know if you have what you think costs -- operating costs are going to be at that asset, given inflationary pressure, just wondering what you are projecting for operating costs for San Gabriel and also operating costs for 2022 for the overall company?
Leandro Garcia: Thank you, Tanya. We can begin with San Gabriel, please, Renzo.
RenzoMacher: Yes. In operating cost for San Gabriel, I think our all-in sustaining cost is around $1,400 per ounce, and that's kind of what we are projecting. And we have been -- at the end, I didn't get your question correctly the first time. We have been working over the whole 2021, quoting the equipment and owning the main services that we're going to be hiring. And we have some savings in there that cover for the CapEx increases due to inflation and escalation costs. So that's why we are maintaining the same range of CapEx.
Tanya Jakusconek: Yes. I just was wondering what you're seeing in terms of inflationary pressures. Is it like 10%? Is it 5%? Like what are you seeing in cost and capital?
RenzoMacher: Yes. I think we are in the -- inflation was 20% in the cost of equipment. That's what we have been seeing during this quoting process.
Tanya Jakusconek: Okay. And then maybe Daniel can give us an update on just overall, what should we be thinking about costs for 2022 in your portfolio of assets?
DanielDominguezVera: Yes, Tanya, thanks for your question. If we talk about gold, we can say that Orcopampa will be producing the cost applicable to sales of between $1,100 and $1,200 per ounce. In the case of Tambomayo, would be close to $1,000 per ounce. And in the case of La Zanja, close to $1,400. Uchucchacua, of course, will not be producing. Julcani will be producing the cost applicable to sales of around $12 to $13 per ounce. And El Brocal for copper will be producing at between $6,000 and $6,500 .
Tanya Jakusconek: Okay. So $6,000 to $6,500 at El Brocal?
DanielDominguezVera: Yes, for copper.
Operator: And ladies and gentlemen, that will conclude today's question-and-answer portion of today's conference call. I would like to turn it back over to Mr. Garcia for any closing remarks.
Leandro Garcia: Thank you, and thank you for attending this conference. Before we finish today, thank you, and over time for making the time to be with us and have a wonderful day for you and your family. Thank you.
Operator: Ladies and gentlemen, that concludes Buenaventura's fourth quarter and full year 2021 results conference call. We would like to thank you again for your participation. You may now disconnect your lines.